Operator: Good day, and welcome to the Frontline Ltd. Q2 2011 Results Presentation. Today's conference is being recorded. At this time, I would like to turn the conference over to Jens Martin Jensen. Please go ahead, sir.
Jens Jensen: Thank you. Good morning, good afternoon, and welcome to our Q2 presentation. We will follow our usual program for this presentation with our CFO, Inger Klemp, going through the Q2 highlights and main transactions, thereafter a financial review of the quarter and thereafter a short update of our newbuilding program. After that, I will talk what happened or maybe what did not happen in the market in Q2 and say a few words on how we see things and after that, we will take your questions. I'm sure there will be a few today. So Inger, if you could start please?
Inger Klemp: Thanks, Jens, and good morning and good afternoon, ladies and gentlemen. I will guide you through the highlights and financial review in the second quarter of 2011 and so far in the third quarter, together with a run-through of the newbuilding program. Then moving to Slide 4. In March 2011, the company exercised its option to acquire the 2002-built VLCC and sold the vessel to an unrelated third party for $67 million. The company has, in connection with the sale, exits charter back the vessel from the new owner. And the duration of the time charter is approximately 2 years at a rate of $32,500 per day. Delivery to the new owners and commencement of the time charter took place concurrently on May 27, 2011, and the company recorded a gain of $3.9 million in the second quarter. In addition, the company expects to record a gain of approximately $13.1 million over the remaining period of the 2-year time charter-in. In April and May 2011, we agreed with Ship Finance to terminate the long-term charter parties between the companies for the OBO carriers Front Leader and Front Breaker. The company recorded losses of $9.3 million and $8.5 million, respectively, for the 2 terminations in the second quarter of 2011. In May 2011, the chartered-in VLCC Kensington was redelivered to the owners. Our VLCC newbuilding construction program is expected to be delayed with approximately 4 to 5 months and, as a result of that, expected payments of $79.9 million and $73 million have been moved from this year into 2012 and from 2012 into 2013 since the first quarter earnings release. Moving to Slide 5. I will then do a quick run-through of the financial highlights in the second quarter 2011. Frontline reports a net loss of $35.2 million, equivalent to loss per share of $0.45 in the second quarter of '11, compared with net income of $15.5 million and earnings per share of $0.20 in the first quarter of 2011. The net loss includes a loss on sale of assets and amortization of deferred gains of $12 million, which comprises losses of $9.3 million and $8.5 million arising on the termination of the long-term charter parties for the OBO carriers Front Leader and Front Breaker, partially offset by gains of $3.9 million and $2 million relating to the sale of Front Eagle and Front Shanghai. Net loss, excluding gains and losses, was $23.2 million equivalent to loss per share of $0.30. Frontline announces a net loss of $19.8 million for the 6 months ended June 30, 2011, equivalent to a loss per share of $0.25. Net loss, excluding gains and losses, was $29.5 million for the 6 months ended June 30, 2011, equivalent to a loss per share of $0.38. And we have decided to pay a dividend of $0.02 per share for the second quarter. Moving down to Slide 6. Net loss, excluding gains and losses in the second quarter of 2011, is about $17 million worth than in the first quarter of 2011. The decrease can mainly be explained by -- first of all, net income on time charter basis was about $20 million lower in the second quarter than in the first quarter due to a decrease in the TCE per day in the second quarter and less trading days in the quarter as a consequence of sale of vessels and termination of leases. Secondly, profit sharing to Ship Finance decreased about $2 million due to decrease in TCE per day in the quarter. Ship operating expenses increased by $300,000 compared with the preceding quarter, primarily as a result of an increase in drydocking costs of $2.3 million, partially offset by the increase in running costs mainly due to recent sale and lease termination. Charter hire expenses increased by $900,000 in the second quarter compared with the preceding quarter, primarily due to an increase in the provision for loss making voyages and charter hire for Front Shanghai and Front Eagle, partially offset by a decrease in charter hire for Hampstead due to off hire and Kensington due to redelivery on May 18. Depreciation has decreased about $1 million due to the sale of Front Eagle, Front Breaker and Front Leader. And then minority interest and other items had decreased about $1 million in the second quarter compared to the first quarter. Then moving to Slide 7. Frontline's double hull VLCC fleet, excluding the vessels on spot index time charter, earned in the stock market approximately $25,700 per day compared with $28,200 per day in the first quarter. Including the vessels on spot index time charter, the VLCC fleet earned $23,900 per day for double, including no single in the quarter. The average for the whole VLCC fleet was about $26,100 per day in the quarter. The Suezmax fleet earned in the Gemini pool $16,200 per day in the quarter. As a consequence of that, Suezmaxes trade outside the pool at somewhat lower TCE rates. We earned on average in the stock market approximately $14,500 per day and virtually no single in the quarter. The average for the whole Suezmax fleet was about $15,800 per day in the quarter. The OBOs earned $31,300 per day in the quarter. And again, the TCE numbers show that this time this quarter has invested in our place, which have released their numbers. Then moving to Slide 8. As you can see from the slide, we had average OpEx for the fleet of approximately $10,800 per day in the second quarter, compared to approximately $10,200 per day in the first quarter. The increase is mainly due to an increase in drydocking costs of $2.3 million in the quarter. We have drydocked 3 vessels in the second quarter, which is one more than in the first quarter, as you can see from the graph on the upper right-hand side of the slide. And as you can see from the graph on the lower right-hand side of the slide, off-hire days were 211 in the second quarter compared to 221 days in the first quarter. We had more hire days relating to drydockings, but we had less unscheduled off-hire. We expect to drydock 3 Suezmaxes in the third quarter of 2011. Then moving to Slide 9. The total balance sheet is approximately $129 million lower in the first quarter than in the first quarter 2011. The main items explaining the decrease are that, the decline of the vessels are decreased with $104 million, following the sale of Front Eagle and termination of leases of Front Breaker and Front Leader and also the ordinary depreciation in the quarter. The short-term and the long-term part of long-term debt is decreased with $9 million as a consequence of all the installments in the quarter, and obligations under capital leases have decreased with $87.3 million due to the termination of leases on the Front Breaker, the Front Leader and the Front Eagle and then ordinary repayment in the period. Asset sale is not included in the balance sheet -- sorry, asset sale is included in the balance sheet with a total of $399 million of debt on obligations under capital lease. And that's related to 3 of the CalPetro Suezmaxes are not consolidated in the balance sheet with $48 million. Then moving to Slide 10. The average cash cost breakeven rates for the remainder of 2011 are approximately $29,800 per day for the VLCCs, $24,800 per day for the Suezmaxes and $21,700 per day for the OBOs. At these rates on a daily basis, our vessels must earn to cover budgeted operating costs, estimated interest expenses and scheduled loan principal repayments, bareboat hire and corporate overhead costs. Then moving to Slide 11 and 12. As of end June 2011, the total number of vessels in total newbuilding program are 2 Suezmax tankers and 5 VLCCs, which constitute a construction cost of about $650 million. We have not paid any newbuilding installments in the second quarter. And as per end June 2011, we still have paid the installments of $198.5 million on the newbuildings and the remaining installments to be paid for newbuildings amount to $451.5 million. The expected payments of $79.9 million and $73 million have been moved from this year into 2012 and from 2012 into 2013, respectively, since the first quarter earnings release. This is a result of an expected delay of approximately 4 to 5 months in the release of the newbuilding construction program. On this basis, we expect payments of approximately $27 million in the remainder of 2011, $175.7 million in 2012 and $248.7 million in 2013, respectively. In November 2010, we secured pre- and post-delivery financing in the amount of $147 million, representing 70% of the contract price for the first 2 VLCCs to be delivered from Jinhaiwan Shipyard. As of June 2011, this facility is not drawn, but we expect to draw down $86 million in 2011 and $62 million in 2012. For the 3 remaining VLCCs and the 2 Suezmax tanker newbuildings to be delivered between late 2012 and distant 2013, the company has not yet established pre- and post-delivery financing. Based on the recently secured financing for the VLCCs, however, we have seen a 70% financing on market value for these newbuildings. Moving then to Slide 13. In this graph, we show the installments to be paid under the newbuilding contract in the period 2011 to 2013 with a total of $451.5 million in the large blue column. In the dark blue column, we show the committed financing in the period 2011 to 2013 with a total of $147 million. And in the gray column, we show the assumed uncommitted financing of 70% of market value of the newbuilding contract in the period 2011 to 2013 with a total of $300 million. And the committed and uncommitted financing is in total $447 million. So based on the assumption of 70% financing, the remaining newbuilding installments are expected to be almost entirely financed by bank debt. Moving then to Slide 14 and 15. The number of vessels in the Frontline fleet after end of the second quarter 2011 is 74 vessels, including the vessels on commercial management and ITCL vessels and is compounded by 44 double hull VLCCs, 3 single hull VLCCs, 21 double hull Suezmaxes and 6 OBOs. We have contract coverage of 20% in 2011 and 14% in 2012. In addition to the fixed rate contract coverage, we also have an additional 17% TC coverage on spot index charter in 2011 and 7% in 2012. The average net TC rate for the total fleet is about $46,000 per day in 2011 and $47,700 per day in 2012. And with these, I leave the work to Jens again.
Jens Jensen: Thank you, Inger. As Inger has just reported, the quarter was disappointing. But on a relative basis, we did fairly well on the chartering side in Q2 due to slow steaming and using commercial waiting days positively and taking the right ideas. Looking at the market movers. Positive factors, there was a few continued delivery slippage of the order book. No new crude was placed in the quarter or so far in 2011, high lifting volumes from the Persian Gulf over the summer, the oil demand year-on-year was up but down quarter-on-quarter. Negative factors in the quarter, the oil demand was down from the first quarter due to economic stagnation. The release of the IEA strategic reserves proved negative for the tanker market or the ton-mile demand. We saw a decrease in long haul imports to the United States. And despite a slowdown in the newbuilding deliveries, supply still outweighs demand. We are now on Page 17, the VLCC fleet. As mentioned, no VLCCs was ordered in the quarter, and delivery slippage continued and is now around 23% of the fleet. We understand that there are many discussions taking place between owners and shipyards right now regarding possible postponement of deliveries. Slide 18, the Suezmax fleet. The Suezmax delivery has been discontinued with around 30%, and also no Suezmaxes was ordered in the quarter. If we go to Slide 19. We estimate newbuilding prices today for a decent specification VLCC or Suezmax to be in the region of around $100 million for VLCCs and around $62 million to $63 million for Suezmaxes. We have seen a large increase in LNG offshore and large container ships ordering first half 2011, and majority of the larger shipyards are now full for 2013, so we can hope for limited supply. The TC market, we estimate that the 3-year TC rate for VLCCs is around $30,000 per day and around $22,000 per day for Suezmaxes. But in all fairness, the charters are not really queuing up out there right now. Now we have Slide 20, which is a little idea we are putting out. Right now, probably the only thing that can change the present tanker market positively is to do something with the fleet, i.e. take some ships out or take some supply out. About 50 VLCCs seem to be the consensus overhang on a monthly basis. With the latest fall in values, it could be possible to purchase 50 order VLCCs, double hull VLCCs and around $1.5 million. Scrap value of these ships are in the region of $1 billion, so who will take the $500 million gamble? They will surely have the market if somebody did. Page 21, outlook in general. The oil demand is increasing but the growth is slowing down. The wildcard right now is obviously the economic development in the United States and in Europe. Slowdown in newbuilding ordering will help the margin regain balance, but when will it be in balance? Maybe the 50 VLCCs scenario, as we just mentioned, could jump-start the market. The market is active but when will we stop taking loss-making voyages? I think all VLCC and Suezmax also for that matter should stand a little bit more firm. For Frontline, our sales. We will continue the sales efforts on loss-making vessels. The ships of the sales we have so far done in 2011 seem to have been hanged back the intent to redeliver for charter in vessels during the fourth quarter of 2011. We are exploring alternative uses of some of our older ships, and we are working on a few interesting projects at the moment, which hopefully will come to fruition over the next months. We have one charter default on one of the dry trading OBO vessels, and we will continue this claim till the bitter end. We will initiate consolidation, the market needs that. We have seen more interest. A discussion is going on with pools, and that would surely help. With that, I think we are ready to take the questions. Thank you.
Operator: [Operator Instructions] We will take a first question today from Greg Lewis from Credit Suisse.
Gregory Lewis - Crédit Suisse AG: In reading through the press release, you mentioned your waiting time policy for your vessels. Could you provide a little bit more color on what exactly that means?
Jens Jensen: Well, right now, the low market basically waiting doesn't cost you anything. So we have seen it's better to slow steam to a loading port and then wait for the wide voyages, maybe that voyage is better than the other, and we saw -- we opted to have around 10% voluntary waiting time in the second quarter for our double hull VLCC, which is the same as basically taking 5 warships out of the market and still with that policy, we managed to be, as Inger said, the other owners when we reported earnings. I think it's very important to wait for the right cargo. The longer you wait sometimes there seems to be some people or charters who was a little bit pressed, and they will pay out.
Gregory Lewis - Crédit Suisse AG: Okay. So this is more of a function of just the overall fleet is -- I guess, sounds like it's having utilization somewhere in the high 80s, low 90s, not actually taking a couple of vessels out of the market?
Jens Jensen: No, that's right. That's right.
Gregory Lewis - Crédit Suisse AG: Okay, great. And then could you provide a little bit more color on -- I guess, the VLCCs were delayed 4 to 5 months, was that coming from the shipyard? Was that coming from Frontline? Could you just provide a little bit more color on that?
Jens Jensen: I think that we have seen many of the new established shipyards have probably taken too many orders in. And as they come to crunch time when the ship has to be delivered, there seems to be some delays in their building program. This is what we have seen here on our VLCC newbuilding out, and this is the delay that is likely to happen, which has also deferred the payments, which with some costs coming with the various milestones which have not happened so far.
Gregory Lewis - Crédit Suisse AG: Okay. But it sounds like those are being actually driven by the yard and not necessarily Frontline?
Jens Jensen: Correct.
Gregory Lewis - Crédit Suisse AG: Now with that, are you able to get any concessions on price, or does price just sticks where it is?
Jens Jensen: Well, I guess, the longer it goes on, of course -- if ships are delayed beyond the delivery date then of course you're entitled to some liquidated damages, but it's too early to speculate on that. But potentially, there could be some damages, which we could receive.
Gregory Lewis - Crédit Suisse AG: Okay, great. And then just last one question, it's going to be regarding Libya. When we think about the ability for Libya to come back online at a certain point, whether it's in the next quarter or the next few quarters, how should we think about that impacting the market just given the fact of the type of oil that Libya exports. Should we view that as sort of -- how are you thinking about that? Are you thinking that's positive? Are you thinking that's good for ton mile, bad for ton mile? I just really would like to get your thoughts on that.
Jens Jensen: Well, I think, we all hope the beginning of the summer when the Libya situation escalated that it will be positive for the tanker market that the oil from Libya would disappear. But at the same time, of course, we had the release of the strategic reserves. But I think when the production or the oil is coming out of Libya, again it will be positive for the tanker market. It was positive for the mainly Suezmaxes and the Aframaxes before more cross-mate activities and so on. So I believe it will help the market a little bit, but it's not going to jump, but it will be positive for the market.
Operator: We'll move to our next question from Justin Yagerman from Deutsche Bank.
Joshua Katzeff - Deutsche Bank: This is Josh Katzeff on for Justin. Just want to maybe touch up on the market and your outlook. I guess members of Frontline Ltd.'s management has been fairly outspoken about their longer-term negative expectations for the tanker market. Can you guys go into maybe your thoughts on the market for the back half of 2011 and into 2012?
Jens Jensen: Well, I think, if I speak for myself not from our management or board have said, but I think that we have seen a more active market, more liftings are taking place. But of course, we need certain economies, mainly the American economy to come back on track, so we can have some more long-haul demand. But of course, the biggest fact is, of course, right now, how many ships will be delivered into the market if -- of course, if the full order book will be delivered on time that will of course take some digesting to absorb that. And then I think, as we have mentioned, to jump-start the market, it would be good to take some ships out. It could be voluntary laying up of somebody's buying and laying them up regular or more scrapping, but then I think we probably need both to really move the market.
Joshua Katzeff - Deutsche Bank: With regard to ships being laid up and maybe put into longer term idle, is that possible to happen before kind of the Q4 or owners just sitting and waiting for possibly a rally who want to keep their ships active in the market?
Jens Jensen: I think right now we have not seen many owners putting ship into layoff. It's very difficult to put a VLCC into 6-month layoff and then assume trading again or continue trading again, you will lose various approvals, and so that would be quite costly to do that. But of course, you could take newbuilding cycle straight into layoff, and then that could be an alternative to look at that.
Joshua Katzeff - Deutsche Bank: Got them. And then I guess with regard to some of the asset sales, I guess in the release, there was a talk of trying to reduce your -- some of your fixed costs in loss-making vessels. What was the rationale on the sale leaseback? I guess, it was sold at a good price of $67 million. But with the charter back at $32,000 a day, that seems like it's going to be generating a loss, and it's above your cash breakeven.
Jens Jensen: Had we not sold the ship, the rate will be higher. This was a ship we had on charter on a KG lease with a time charter rate much higher than $32,500. So we actually got some relief there, and at the same time we cashed in. So we, we're really quite happy with that transaction.
Joshua Katzeff - Deutsche Bank: Got it. And just one quick question. Can you go to maybe some of the uses for the OBOs that you mentioned, provide some more color on that?
Jens Jensen: Right. We are working on various projects right now. I prefer not to go into specifics, but it will take them away from trading if this happens.
Operator: We'll move to our next question from Fotis Giannakoulis from Morgan Stanley.
Fotis Giannakoulis - Morgan Stanley: You mentioned earlier that we are approximately 50 VLCCs oversupplied at this point, and if you could please translate these number of vessels into incremental demand for oil or oil flows that we might need in order to see the market and the balance of power to be in charter as an owners being resolved.
Jens Jensen: Well, the 50 ships we have put down, it seems like the consensus being talked about that is the overhang. But when you look at it every month, we see various -- I guess, brokers are putting out list for next month that there are 98 vessels available in the Persian Gulf, and everybody goes into a panic. But the fact is that every month, around 120 cargoes are done on the Persian Gulf. So with a little bit more of stamina and expertise, I think we could actually be able to push the market up. But I think on a -- is it 50 ships or is it 25? Of course, if you take 50 ships out, it could be immediately felt. But at the same time, if we have a trading pattern and if we have a pickup in oil demand from America, of course, then the overhang will be less. But this is just a scenario, saying this could really jump-start the market. It's a debating point, I would say.
Fotis Giannakoulis - Morgan Stanley: And you say we should expect some increase in the U.S. imports, what should be in a million of barrel per day, the amount in order to we know to absorb this overhang?
Jens Jensen: Yes, around $2 million.
Fotis Giannakoulis - Morgan Stanley: Okay. We've seen several reports that the order book for 2011 is more than 40 VLCCs. Can you give us your expectation of how many vessels will be actually delivered during 2011 and if you have an estimate for 2012?
Jens Jensen: What we have seen or the input, we are using it that so far we have seen 33 ships being delivered versus on paper should have been 43. So you just take 33, and then again for the second half, it should be around 65 ships delivered. I think it would actually we will be less, I don't think there's much incentive for owners to push the shipyard to take the ships out on in $5,000, $10,000 market. So I think there will be less ships delivered here the rest of the year and then of course, that will be overhang going into next year, so that, of course, when it's more difficult to predict. But I think around 55 ships will be delivered this year, and this should have been around 75, 77 ships. So that, of course, quite a drop.
Fotis Giannakoulis - Morgan Stanley: We have seen that during the last few months, you have very successfully postponed newbuilding payments, and with a concern of the shipyard than without any cost for Frontline. Is this something that can easily be done? And what is the secret behind that? Why would the shipyard accept this kind of postponement and whether this is possible for other owners -- the smaller owners, compared to Frontline?
Jens Jensen: I guess it goes back to a bit of history, what happened when you signed a contract? I think it's always important to go into a deal where both the shipyard and the owner are happy from the start. And if you go into a deal with that mindset, then I'm sure something can be done during the process.
Fotis Giannakoulis - Morgan Stanley: And can you comment -- we've seen some transactions that have been reported, especially for all the VLCCs that they were at somehow surprisingly low selling prices. Do you see that this will continue? Can you comment on the recent 10-year old VLCC sale that markets says it was around $36 million?
Jens Jensen: Yes, obviously, that says more about the seller than the buyer, I think.
Fotis Giannakoulis - Morgan Stanley: Okay. My last question is a little bit about modeling. You mentioned that you have a no single hull VLCC in the water. Do you still have these vessels around your fleet, or you have terminated the charter service, the 3 single hull that you have?
Jens Jensen: We have 3 single hull VLCCs left with -- it's used as floating storage. We have them out on charter on floating storage. These ships are not trading, and they will not trade. As we did in the first quarter when we had 2 ships coming off charter, we sold these ships. So we are not trading single hull ships, and these ships will not return to trading.
Operator: We'll take the next question from Michael Webber from Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC: A couple of questions here. You mentioned redelivering 4 vessels on December 1, a handful of Vs. And obviously, your cash breakeven are propped up by all these charter-ins with Ship Finance. What sort of strategic alternatives or solutions are there available right now with Ship Finance to maybe redeliver more of those vessels at the time? They've talked about a great thing on their call. From your perspective, is there an opportunity going forward to maybe restructure some of those charters to maybe bring some of the vessels off ahead of their normal roll-off date?
Inger Klemp: There is always, of course, a possibility to negotiate about things even though this is not in a way written in the contracts. Even though that is the case, we can, of course, discuss. But so far, we have not discussed anything with Ship Finance on that matter.
Michael Webber - Wells Fargo Securities, LLC: At what point would you guys consider being more active in doing that?
Inger Klemp: As I'm saying that -- we'll just have to see how the market develops in a way. I mean, if it continues this very low rate environment that we see now for the long term, obviously, we're now seeing a more mature time for discussing this.
Michael Webber - Wells Fargo Securities, LLC: Okay, that's helpful. I guess, moving to the dividend cuts, and it certainly seems pretty predictable considering the state of the market. In terms of how we should be thinking about that going forward, is it pretty fair to assume that at $0.02 per quarter is a pretty normal run rate until we see a more long-term recovery? And I guess, as a secondary question, I guess, how sustainable of an improvement would we need to see before you guys would even suggest raising it again to the board?
Jens Jensen: I think the loan is paid out if there's excess cash from the operation. And I don't think we have -- we have not changed our dividend policy in that respect. So of course, if there's a rapid turnaround in the market, the dividend will be different. But I think everybody is looking at the present market right now and I think concentrating on that for the time being.
Michael Webber - Wells Fargo Securities, LLC: Right, just kind of what we thought. With regards to the newbuild that you guys have pushed back, and I guess the financing that's still associated with those, what are you hearing from your lenders right now in terms of the terms, really? I guess, you're still using 70% leverage in your deck, and it seems to be still be available. But are they talking about more aggressive amortization schedules? Have spreads kind of blown out a little bit here? Can you talk about just how you think about those financing costs moving forward?
Inger Klemp: No. So our impression is not to start the terms in a way it's worst. They haven't really been speaking about any kind of increased amortization or that sort of thing. I mean, the only thing that, of course, I guess, you will see going forward is the values are continuously decreasing. In fact, you will have less loans available, but it's not because of the percentage is decreasing, it's more because the values are decreasing. The margin, I think, is quite stable in way. I guess, they were a bit lower just some months ago and possibly have moved a bit up again now but quite stable. So our impression is lots of terms are still quite okay out there.
Michael Webber - Wells Fargo Securities, LLC: Okay. So you guys, in terms of availability, in terms or basically you'd probably say they're kind of flat sequentially, and you still think that credit is available, there's really no change since the second quarter -- since first quarter rather?
Inger Klemp: Yes, that's our impression. Yes.
Michael Webber - Wells Fargo Securities, LLC: Okay, fair enough. And I guess, finally, in terms of actual operating performance, when you guys -- from your VL number, it was about 15% better than most of your peers. Can you talk a little bit about what drove that? And I guess, specifically, maybe how much of that was due to your waiting time and maybe was that a little bit more -- were you guys a little bit more opportunistic than some of your peers in terms of actually sitting vessels and waiting to find a better time?
Jens Jensen: I think we've always had a flexible attitude to waiting. Even in the high market, we have done waiting time. If you believe the market is going upwards, better to wait and we have done that right now of course with a very low market, it doesn't really cost you anything to wait. So we've taken that attitude, it's better to definitely slow speed into a loading area, and it's important not to halfway to change your mind and then speed up because then everything you have done, you have lost and just be more selective when we fixed and hope for the right combinations. And work with certain channels whom we know would normally put the cargo in that area where we would like to be next, so that's what we are focusing on.
Operator: We'll move to our next question from Justine Fisher from Goldman Sachs.
Justine Fisher - Goldman Sachs Group Inc.: So I just wanted to double check on the OBOs because I thought that those were time chartered out by you guys at 40,000 a day or above at least based on the comments that we've heard from Ship Finance, et cetera. So when did those time charters expire because you said you were looking for alternative employment for those, but it would seem that if they were out on such lucrative charters that you wouldn't necessarily seek alternative employment?
Jens Jensen: We have had slightly reported. We had 2 ships, which we have redelivered or terminated the lease. Those ships were redelivered during the quarter. So 2 ships has come off and then also now as we have mentioned, we have one charter now which is in default. And of course, we had to take certain loss provisions for that, which is coming in the second quarter, which is of course dragging down the average earnings. Of course, the default charter, we are working on that and to try and to secure that, but that is the main reason why we have seen a lower charter in the second quarter.
Justine Fisher - Goldman Sachs Group Inc.: And you do still have 3, if there are a total of 6 OBOs based on the last count that I have. So there are still 3 that are out on above market time charters at the moment?
Jens Jensen: That's right.
Justine Fisher - Goldman Sachs Group Inc.: And when do those charters expire?
Jens Jensen: The first one is coming off in -- it's around May, April next year, and the last one is in the autumn of 2014. So that will have some time to go.
Justine Fisher - Goldman Sachs Group Inc.: Okay. And can you remind us of the ballpark of the rates that you're paying Ship Finance on the vessels? I think the Vs are around $26,000 a day and the Suezmax and the OBOs are probably between $20,000 day and $21,000 a day, is that the right average rate that you guys are paying on those vessels?
Inger Klemp: Yes, the TCE rate from Ship Finance is $24,700, I think, for the VLCCs and $20,700 for Suezmaxes and OBOs. Yes.
Justine Fisher - Goldman Sachs Group Inc.: Okay. And then just a question on your newbuild financing. I think that the chart that you have in your presentation shows that for 2013, you expect to raise more money from financing than you have in newbuild CapEx commitment. Can you explain at least $300 million of assumed financing, and then I think lower than that for what your CapEx is? Can you explain why the financing would be more, is it because you've already made yard installments, or what justifies that assumption?
Inger Klemp: Well, the reason why it is the way that you are describing in that graph is that we actually are assuming that the financing is coming after the delivery of the vessel and not before for those we have not established financing for. But for the 2 that we have established financing for, we are having both pre- and post-delivery financing. And that's why you can see that we are assuming going out for 86 done in 2011 and the remaining in 2012. So the others, as I said, no pre-delivery financing is assumed, not that I am saying that is not possible, but that is not assumed in that graph.
Justine Fisher - Goldman Sachs Group Inc.: Okay. And then Ship Finance announced yesterday that they actually obtained 2 facilities, I believe, from the Chinese that actually allowed them also to net cash versus their newbuild deliveries. Are you guys pursuing some more deals with China Exim or some Chinese entities that may be more willing to lend against certain vessels and, for example, European banks that are in a bit of a tougher situation now?
Inger Klemp: That's [indiscernible], that the deals will actually have a lending from Exim today, so that is not something which is [indiscernible] if you can call it that.
Operator: We move to our next question from Sal Vitale from Sterne Agee.
Salvatore Vitale - Sterne Agee & Leach Inc.: I just had a quick question, most of my questions have been answered. Just a question, there's been a lot of speculation that Frontline could be a participant in some consolidation of the tankers out there, given that there are a lot of companies that are facing distress in this current weak tanker market. Could you discuss some of the opportunities that you think are out there in the market currently? And I guess the second part to that question would be, in the event that Frontline would fluctuate some consolidation, given your low stock price, what would the mode of financing be? Would it be perhaps a cash infusion from some of your existing shareholders, or how would Frontline finance any type of deal that could arise?
Jens Jensen: I think if we start of the available deals out there, I think, as you have seen buildup the year develop so far in the market that's of course -- there's more and more interesting deal coming. It may be a single ship or it may be banks coming with a portfolio of ships where the owner of those ships would like to step out, and that's of course also corporate opportunities. So we are looking at everything right now. I think it's too early to say how we'll finance it, and of course it depends on I guess the structure where we're going into. But I think we are looking, and I'm sure that some of the other listed owners out there are doing the same thing. But I think the correct thing to say that there's more and more interesting deals floating around, that's for sure.
Inger Klemp: And just to add, I mean, as Jens just said, I mean, the most interesting deals probably will call up from banks, I guess, and then I guess the financing question you raised what we are thinking about or talking about there is possibly only to take on debt at a rebate, so there's no need to continue issues or that sort of thing.
Salvatore Vitale - Sterne Agee & Leach Inc.: Okay, that's helpful. And then just a follow-up question, and you may have answered this earlier, I apologize if you did. Regarding the redeliveries of additional vessels, how many additional vessels do you -- assuming, and I know it's a big assumption, but assuming that the market doesn't improve from current levels for, let's say, another 6 months or so, how many additional redeliveries like could you foresee happening?
Jens Jensen: Well, we have mentioned 4 because if it's 4 ships we specifically can redeliver. That charter is running out on the 1st of December. So of course, as the present market continues at the levels they are now, then we will -- I wouldn't say definitely we will definitely redeliver. Nothing in shipping is definite until the last day, but we intend to redeliver those ships. And of course if the market continues, of course, then I think everybody's looking at the charter portfolio and trying to see if you -- when you can redeliver as early as possible. But I think we have mentioned those profits because they are coming within the next 2 to 3 months.
Salvatore Vitale - Sterne Agee & Leach Inc.: Right. Can you just refresh my memory and looking beyond 2011 and 2012, how many ships are coming up for exploration that you can redeliver?
Jens Jensen: We don't know if May we can redeliver, we have I guess the next one, then after December will be in June next year VLCC.
Salvatore Vitale - Sterne Agee & Leach Inc.: That's one VLCC?
Jens Jensen: Yes, then potentially more end of next year.
Operator: We'll move to our next question from Michael Pak from Clarkson Capital Markets.
Michael Pak - Clarkson Capital Markets: Just a couple of questions here. You mentioned, Jens, your chartering strategy was quite good and looking at the numbers, it looked like you did outperform the market. Can just kind of get into what were some of the things you did? I know you mentioned slow steaming. But can you talk about that a little and your confidence of repeating this kind of performance into 3Q?
Jens Jensen: Of course. Quarter-by-quarter, you have ships loading into a quarter, so it's difficult to compare quarter-to-quarter. But I will say our strategy has been unchanged. As I mentioned before, even in a good market, which we try to be a little bit selective, and if you don't mind using the waiting time if it's right and then hopefully get a bit of work, so that's unchanged. I think what we have agreed with ourselves that we're not going to take voyages on the Persian Gulf into the U.S. Gulf with almost zero return and then fix a lot of voyage backout from the U.S. Gulf to Asia at $500 a day, which we have seen owners doing. So why should you occupy yourself 100 days and make $2,000, $3,000 a day? We find that wild really.
Michael Pak - Clarkson Capital Markets: So if you are selective on your voyages, then for those particular ships in those particular regions, then are they effectively laid off?
Jens Jensen: You can call it layoff, we call it commercial waiting. We had around 10% of our spot double hull VLCC, which is commercial waiting time. That's equivalent to around 5 ships, so you could say we had basically 5 ships not being employed, but of course that is not how it is. We used to time spread our own fleet, and then that's what we have done so far.
Michael Pak - Clarkson Capital Markets: Perfect. And if you can help me understand it a little better, how long does -- can you do a commercial waiting time before it would be classified as a ship being unemployed, and you would have to do all these approvals again for just a ship?
Jens Jensen: That's, of course, long term. If you have the intentions of doing that long-term business, of course, but if they go into a straight layoff and start manning down, of course, you can't have a trading ship where you go for reduced manning and so on. That's not possible. So if that's just [indiscernible] uncertain what your plans are, then of course that's a big problem first if you don't have any planning. But I would say if you plan to have a longer-term layoff, then of course, you will do it different, then you will close down [ph] the vessel and then do certain things to reduce operating cost. But here is more of a commercial tool and try to find the right voyage and try and optimize your earnings. This is not really to cut down on OpEx and go into layoff.
Michael Pak - Clarkson Capital Markets: So for the commercial wait purposes, would you say a couple of month type of wait, would you say...
Jens Jensen: We have not done it that long, of course, if you do -- if you had 2, 3 months waiting per ship, then you're not getting these returns. But I will say, spread over our fleet -- of course, we have days and places where we wait.
Michael Pak - Clarkson Capital Markets: Okay. All right. My other question involves sort of the market outlook, which everybody is kind of weighing in on. Should the conditions remain weak and asset values trend down or just stay where they are? I would think that the bank market would get a little more challenging in terms of perhaps you would need to close more security, et cetera. So just -- can you talk about your confidence of paying a 70% loan to value in your financing discussions?
Jens Jensen: I think there's no doubt you get the best deal in the best market, and I think you also have banks willing to step up to the plate in the bad market when they see the values have gone down. So we are getting encouraging support from some of the banks we work with, and I think money is available there. And I guess it's just a question of when asset value will find the bottom, I think there's a big difference between older ships and newer ships. I think anything before 2000-built has probably been discounted, and definitely anything before 1995 has been discounted even more. It seems like the modern ships value are holding up fairly well at the time being. So I think it's important to just try and differentiate a little bit about the asset type and values and the mean ages and so on, and not just have a broad statement on that.
Michael Pak - Clarkson Capital Markets: Okay, and can you also discuss, given the delays that the yards are experiencing for your newbuild program, what is your sort of thought process in terms of obtaining financing? So are you -- has that timetable changed in your mind in terms of you have more time to wait, so to speak?
Jens Jensen: I think we have never rushed out to take finance. I think we normally commit to financing when we think the time is right and when we need it right now. As we have mentioned, we have paid almost $200 million down initiatives as our own cash. So when we feel maybe we could use that cash to something else then of course maybe it's time to raise financing and draw down but that's, of course, see how the market develops, what opportunities are coming. Of course, this is something we're looking at all the time. We don't have a specific time when we normally -- when we sign a newbuilding contract, we don't do it sub-financing, run out to a bank. We are quite flexible on that.
Inger Klemp: Just to add on, as we have said several times before when we assumed 70% financing, we obviously also assumed 30% equity injection. And for these vessels, which is not financed, we have not really reached that level yet. So it will be rather inefficient ourselves in a way to establish financing today, which we cannot draw and which we only can pay interest and expenses on. So the only one -- the only winners in that situation would be the banks and not ourselves.
Michael Pak - Clarkson Capital Markets: A fair point. Inger, just one question for you, if I may. You mentioned the drawdowns that you expected on your committed financing for the 2011, 2012. Can you repeat those numbers again?
Inger Klemp: Yes, it's $86 million. You could find it in the CapEx slide on Page 13. You can see that we have inserted $86 million in 2011 and $62 million in 2012. And you'll notice if this doesn't really add up to $147 million that is because you have a rounding off to $86 million in 2011. It should be $85.5 million. There's just 2 numbers there, so that's why.
Michael Pak - Clarkson Capital Markets: Great. And did you guys discuss why your operating days for the quarter? Have you...
Inger Klemp: No. we haven't discussed that, no.
Jens Jensen: No.
Michael Pak - Clarkson Capital Markets: Okay. Could you share that with us in terms of the operating days of the fleet?
Jens Jensen: It's probably best if you're calling us after the conference or maybe next week and see if we can go through your model if you want to update that.
Operator: We'll move to our next question from Urs Dür from Lazard.
Urs Dür - Lazard Capital Markets LLC: Maybe a silly question, I don't know if you touched on it, but why haven't seen more scrapping with rates since you guided where they are?
Jens Jensen: Yes, I'm wondering the same thing, you know. I'm wondering the same thing. It would surely help the market. Now our values are coming down to almost scrap levels they're in.
Urs Dür - Lazard Capital Markets LLC: And then sort of led me to just to the next question, which is nobody's scrapping and values are coming down. We're either going to see a lot more scrapping or there are a lot of people betting for a turnaround in demand that you probably can't show your cards, but what's your view of asset values over the next 12 months, further significantly or some stabilization?
Jens Jensen: Well, I don't know. I think you're right. Many of these, let's say, the older double hull ships, which are coming close down to scrap levels, and I think they are traditionally normally being held by people, who also have a very low debt on their ships. So maybe you'll see these owners selling out and reinvesting in something more modern, which is also become interesting. So I think it will probably be a combination of that. But I think you will see more ships being scrapped or put into other uses. So there will be some reduction in the fleet, and we definitely need that.
Urs Dür - Lazard Capital Markets LLC: Right. And final question, I'm speaking to a couple of the stockbrokers that I know you know well. They're talking about VLCCs and Suezmaxes in particular once they're hitting 15 years of age already seeing some lack of interest from the major charterers. Are you seeing the same thing? Is there now set of an age creep on the demand for ships hitting more 15 than 20?
Jens Jensen: I think you are right. Some of the big oil companies, oil major, they have, I wouldn't say, it's written rule, but they have a rule that they would like to take ships which are younger than 15 years of age. But of course, we have seen rules being changed before when the market becomes back to normal again. But I think right now, of course, everybody they would like to have the most modern ships, and I think the most common age rule is the 15 years. Yes.
Operator: We have a follow-up question from Michael Webber from Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC: I know it's been a long call, but I wanted to follow up on Justine's question on the OBOs. Can you maybe -- can you remind us, I guess, the nominal amount of charter hire that's in dispute right now? And then you mentioned you've got 3, they're still on time charter-out kind of passed next year and well into 2013 to 2014? And with the kind of parties are there and if you can't disclose that, I guess how you guys assess the credit risk associated with those cash flow because they are pretty significantly above market?
Jens Jensen: We believe that the charters in those 3 ships, which is the same company is a good credit risk, and of course we hope that they will perform. The other claim is I can't really tell you the outstanding of that. Of course, as owners, we have certain obligations to mitigate that. But of course, we are going for the full amount, and we hope we can recover as much as possible.
Michael Webber - Wells Fargo Securities, LLC: How far along in that process are you guys are in now? I mean, can you provide maybe a time frame for a resolution, or is it just too early?
Jens Jensen: It's a little bit too early.
Michael Webber - Wells Fargo Securities, LLC: Okay, fair enough. And then just one quick modeling question, the drydock base for Q4 in 2012?
Jens Jensen: We only have 3 drydocks left for the year, and that will be in Q3, which is 3 Suezmaxes, as Inger mentioned.
Michael Webber - Wells Fargo Securities, LLC: So none in Q4, and then you guys don't have any visibility in 2012?
Jens Jensen: Yes, we are doing a double plan now. Of course that's scheduled coming on. But sometimes, we have -- it depends, of course, on the markets also. Some quarters, we moved -- some ships, we are moving earlier if we believe this is a good time or the ship is in the right location. We normally dock our ships in the Far East. So if the ship is there, if it's ahead of the quarter where it should have been docked, we will do it then and there. But I think, for the next -- for the third quarter, of course, we know what is going on in the fourth quarter, no docking. So it's a little bit too early yet to decide what the spread-out will be next year.
Operator: [Operator Instructions] We have a follow-up question from Justine Fisher from Goldman Sachs.
Justine Fisher - Goldman Sachs Group Inc.: I have a follow-up on Mike's previous question regarding the Ship Finance charters. Inger, I know that you said that you might consider renegotiating or asking Ship Finance to renegotiate some of those charters at a later date, depending on how the market trends. But if we take into account the various options that Frontline might have in terms of liquidity, so renegotiating some of your bank amortization payments some sort of equity-related capital raise, selling vessels and then renegotiating potentially some of the Ship Finance charters, where were the approaching Ship Finance rank among your options? Is that something that would be a first option for you because it may be easier than renegotiating with banks, or would that be a last resort in the event that Frontline really needs to shore up liquidity?
Jens Jensen: Yes, we are sitting and smiling here. It's good we have so many options and make us feel really good.
Inger Klemp: It's a hard in a way to rank those options. I think they are all options, all possibilities, and I think it's a bit premature in a way for us to say anything more specific about that. We haven't really began to think about this until perhaps and to talk to such a process, but that's a bit early.
Operator: We have no further questions in the queue.
Jens Jensen: Thank you. I'd like to say thank you to everybody for dialing in and listening to our presentation. And I'd like to thank everybody in the company for their good work in a very difficult quarter. Thank you.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.